Operator: Good morning, ladies and gentlemen. Welcome to the PostNL Q4 Full Year 2025 Results Call. [Operator Instructions] And after presentation, there will be an opportunity to ask questions. Now I would like to hand over the conference call to Ms. Inge Laudy Manager, investor Relations. Please go ahead, madam.
Inge Laudy: Thank you, operator, and welcome to you all in today's conference call. We have published our Q4 and Full Year '25 results and the annual report earlier this morning, and we'll explain the set of results to you in this analyst call. With me in the room are Pim Berendsen, our CEO; and Linde Jansen, our CFO. After that presentation, Pim and Linde will take your questions. Pim, over to you.
P. Berendsen: Thank you, Inge, and good morning to you all. I would like to start with a summary of the new strategy that we've presented to you on our Capital Markets Day last September. That's on Page 5. And at the top, you see our purpose, connected to deliver what drives us all forward. That is what holds everything together. Just below the purpose, you see our strategic intent. We grow our business, create sustainable value, lead through innovation and make impact that matters. Then moving from the cascade one step down again, you see the strategic objectives and ambitions of the 3 business segments. For E-commerce, it's all about shifting from volume to value through differentiated approach and smarter network utilization. For platforms, capturing international growth with asset-light models and for Mail transforming towards a future-proof postal service. We'll make these changes and those ambitions through 10 strategic priorities, ranging from compliance and workforce to network efficiency and international growth. And this should all lead to the required outcomes on 4 goals that we've set, being financial KPIs, Net Promoter Score, carbon efficiency and employee engagement. And for 2025, we've reached the objectives for all 4. Then if you look at the key takeaways for 2025, it's all about progress towards our Breakthrough 2028 ambitions that we shared with you in September too. So we're positive to be able to say that our financial and nonfinancial targets are achieved. We've reset the organizational structure and made changes in the teams. We've now reporting segments aligned with the strategy. Of course, we have secured the refinancing required to bring us to 2028, and we see early telltale that the targeted yield measures are contributing to performance and that momentum will further build into 2026. Furthermore, crucial progress has been made in the political process towards future-proof mail service. Thursday, 2 weeks ago, in Parliament, the changes are approved to get us to a D+2 by mid-2026 and a D+3 delivery for Universal Service by July 2027 at quality levels that we now deem to be feasible. So far, there's no solution for the net cost during the transition period up to the point that we are beyond the D+3 delivery, and that's why we will continue with the legal proceedings on net costs. Targeted yield measures have more than offset the organic cost increases in 2025. And overall, given performance and leverage based on dividend policy, we're able to propose a dividend per share of EUR 0.04 per share and to be proposed to the AGM in April. If we then zoom into the segments and the fourth quarter, in particular, we've seen at Parcels a very well-executed peak period underpinned by very good NPS scores, both on the consumer and on the sending customer side. Revenues up by 3.2% at flat volume development with a positive price/mix impact. And we see that the propositions that we're looking for in contract renewals are progressing as we've planned. In other words, the differentiating commercial approach is helping us to create a better value over volume, and that's what we obviously seek. We've said that it will take some time to materialize fully, but we're on the trajectory of the path that we sketched for you when we've communicated our Capital Markets Day objectives. If we then look at Mail in the Netherlands in the fourth quarter, we've seen some exceptional volume in the last part of the year, driven by pension communication as part of the pension transition in the Netherlands and some special safety kit communication from the [indiscernible] and that has led to a very robust December performance that altogether with a very successful Christmas card campaign offset the year-to-date November negative result that at that point was close to EUR 35 million and changed it to a slight positive number of EUR 2 million at full year 2025. Of course, the underlying trend of volume decline and organic cost increases is continuing. The cost savings, we have achieved what we expected to achieve. Of course, due to adjustments in the business model, the business mail is already moved to within 2 days delivery window, and that helped us save costs. There are no further options for future cost savings within the current regulatory framework, and that's why it's so important that we're now allowed to go to within 2 and later on within 3 days delivery for the universal service against reasonable quality levels later this year. Then I hand over to Linde for now. I'll be back later, and then Linde takes you through the more detailed financial performance of each segment.
Linde Jansen: Yes. Thank you, Pim. As mentioned already by Pim, the fourth quarter was a good quarter with our revenues up to EUR 973 million and normalized EBIT of EUR 79 million, which is 27% compared to the quarter last year. This means that we have delivered on our full year 2025 outlook for normalized EBIT of EUR 53 million, exactly in line with 2024. Free cash flow came in at minus EUR 25 million, also midpoint of our outlook. Also, good to mention that normalized comprehensive income for the year was EUR 21 million, a base for the determination of the proposed dividend per share. Our adjusted debt is up to EUR 501 million. Not on this slide, but good to mention that the leverage ratio at year-end was 1.99x, properly financed so we can propose to the AGM the EUR 0.04 dividends per share, as mentioned. We also delivered on the targets for the key nonfinancial KPIs and made good progress on further reducing on our environmental footprint. The 50% improvement in carbon efficiency and the share of emission-free last mile delivery increased to 33% from 28% in 2024. Looking at NPS, we maintained our average #1 position in relevant markets, an important achievement in a competitive marketplace. And also employee engagement was up compared to last year. Let's move to the financial details of Parcels in the fourth quarter. Revenue amounted to EUR 691 million, which is 3.2% above last year, following volume development, price increases and mix effects. Overall, volumes were flat with a slow start of the quarter followed by increasing volumes in the peak period. Market share was slightly down as anticipated following our yield measures. With that in mind, it's good to see that the total price/mix impact was positive this quarter. Of course, this is also visible in the average price per parcel, up by EUR 0.11, supported by targeted yield measures and regular price increases. Price increases have been implemented according to plan and were only slightly offset by negative mix effects. Furthermore, it's also positive that our cross-border activities continued the trend we have been seeing for several quarters with revenues at Spring up this quarter most strongly in our intra-European activities, a promising development as international expansion is one of our strategic initiatives. In this part of our business, we see a less favorable mix. When looking at costs, it should not be a surprise that in this quarter we saw significant organic cost increases, which is mainly labor related. However, we also see EUR 14 million in cost savings in the fourth quarter, and these were delivered according to plan. To be more specific, these came from ongoing adaptive measures like, for example, rationalization of services because we stopped parcel delivery on Sunday. Next to that, our flexible operational setup proved our agility and made us achieve additional efficiency improvements in our network, so in depots, supply chain and transport to mitigate the adverse mix effects. In Spring, planned investments to capture intra-European growth put pressure on the margin. This brings us to the Parcels bridge, which shows the reconciliation of the EBIT from EUR 36 million in the fourth quarter last year to EUR 41 million in this year. Asset volumes were flat. So the revenue growth in the volume-related part of this segment is fully attributable to price and mix. To be more precise, EUR 15 million from pricing and yields, offset by only EUR 4 million due to a less favorable product and customer mix. Organic cost increases amounted to EUR 14 million following wage increases according to PostNL and sector collective labor agreements and indexation for delivery partners. Other costs were EUR 8 million better, mainly as a result of the combination of cost savings and additional efficiency improvements in depots, supply chain and transport, partly offset by higher costs related to investments in reduction of physical workforce and sustainability. In other results, I want to highlight that this is mainly applicable to Spring, where we see revenue growth being offset by mix effects. Furthermore, we again invested in international expansion, one of our strategic initiatives of the intra-European activities in Spring. We also continue to focus on further growth in Belgium. Let's move over to the results of our segment, Mail, in the Netherlands. Revenue amounted to EUR 406 million, which is EUR 18 million above last year's quarter. Volume development was almost flat, supported by election mail and other partly nonrecurring non-24-hour mail from, for example, the pension funds and governments, which Pim just mentioned. I would also like to mention the successful campaign for our December stamps and, at the same time, the underlying trend of structural volume decline continues. Also, part of revenue are price increases, and these were partly offset by an unfavorable shift in mix. Obviously, the share of non-24-hour business within the total of Mail volume increased due to the extra volumes from government and pension funds. And the shift of business mail to D+2 delivery is also part of the explanation. Looking at costs. Labor costs were up following the CLA for PostNL and the mail deliverers. When looking at illness rates, we see again an improvement compared to previous year. These cost increases were mitigated by cost savings of EUR 10 million according to plan, coming from further adjustments in our current business model such as the transition of business mail towards a standard service framework of delivery within 2 days. Altogether, this resulted in normalized EBIT of EUR 45 million. The robust December performance more than offset a deeply negative year-to-date November results. Remember that the year-to-date Q3 normalized EBIT was minus EUR 43 million, and the last quarter brought us at the full year result of just EUR 2 million, which equals a margin of 0.2%. The elements of Mail in the Netherlands I just discussed are reflected in the EBIT bridge on this slide. As said, almost flat volumes, also, of course, reflected in flat volume-dependent costs. Price increase partly offsets the less favorable mix, as just explained. Organic cost increases of EUR 10 million were due to wage increases and other inflationary pressures. And then we have the cost savings of EUR 10 million and a bit lower labor costs related to sick leave. They were more than offset by lower bilateral results, staff-related costs and one-off cost to prepare for the future Mail structure. We will tell a bit more on that in a minute. Then over to our free cash flow. Free cash flow was EUR 73 million in the fourth quarter, down compared to Q4 2025, while normalized EBIT was up. This is mainly explained by working capital development where, as expected, we see phasing with the previous year. Furthermore, interest paid is up following the changes in our debt structure. Thanks to well-executed cash and balance sheet management, full year free cash flow came in, in line with our outlook. This altogether winds up the 2025 financials. I now hand back to Pim for our strategic story going forward.
P. Berendsen: Thank you, Linde. By now, we're on Slide 16. And this slide brings together the strategic objectives of each of our business segments as well as the enablers that support them. So for E-commerce, the ambition is to shift from volume to value through a differentiated approach and smart network utilization; for platforms to capture international growth through asset-light models; and for Mail to transform towards a future-proof postal service. Around them are enablers that cut across the businesses, for instance, ESG, where we take care of our people, our environment and our society; data and tech to simplify and to accelerate by embracing data and AI; and innovation beyond delivery, where we explore new opportunities by stretching our core businesses. Together, this framework connects our ambitions to the actions that will deliver Breakthrough 2028 results. If we then look at the E-commerce story, then you all know it's all about moving from volume to value. And we do that through 4 levers on our margin engine. First, we are strengthening our commercial engine. That means a more differentiated customer approach, tiered propositions and moving slightly away from next day only to also best day delivery options to smooth flows and to reduce costs. That doesn't take huge changes, but just gradual moving a bit of the volume towards best day helps to create better network utilization and, through leverage, creates material impact on margin. Secondly, we aim to be distinctive where it matters most, giving consumers control, improving the critical I receive journeys and deploying digital tools to enhance their experience. And that's also why we're very happy about the fact that Net Promoter Scores on the consumer side have been increased also during the peak period last year. Thirdly, we stay comparative on cost. Smarter depot operations, better alignment of resources and targeted investments in technology will help us to run the network even more efficiently and will reduce the cost price per item, which strengthens our competitive position as well. And finally, we do take a step-up in steering and teaming, active revenue capacity management in new departments that we've introduced, supported by a strong organizational foundation, for which we've made changes in the beginning of this year, gives us even better control about customer value, yields and margins. And this is how we build a more balanced, more profitable, more value-enhancing e-commerce business. If we then look at the actions that we've planned for 2026. It's really about monetizing capacity by optimizing customer and product mix better. Contract renewals that have been agreed bring a better balance between margin and volume already. Focus on cost control, so we plan to take out EUR 40 million to EUR 50 million of costs in the e-commerce space, partially because of the benefit from implementation of our out-of-home strategy, but also lean on more efficient operating model in our first and middle-mile operations. Further optimization and digitalization, robotics and planning optimization tools helped by AI developments will help realize those savings as part of a program that we've launched to reduce the cost price per item. And as said, that will help to strengthen our competitive position even more. Clearly, to be distinctive where it matters, we just discussed why that's so important. Then maybe to our assumptions for 2026. We do assume continuous growth of Dutch households consumption of around 2.2% to 2.4%. And with an online penetration of 0.5% increase, we still assume because of our push for value, that we'll continue to lose a little bit of market share. And that's why, at the end of the day, we expect volume growth to be 1% to 3% for 2026. If we then move over to platforms. And Linde already talked about the investments that we are making there impacting the 2025 results and will continue to impact 2026 results too. There, we invest in the acceleration of international flows, and the asset-light models will allow us to expand routes quickly and capture new customer portfolios without heavy investments. Secondly, we strengthened our Dutch domestic leadership by keeping export flows and international volume in PostNL's network and by improving customer stickiness and to protect our own market. Thirdly, we build a smarter, leaner network, a shared platform infrastructure, strong partner models, and automation through APIs drive efficiency and scalability in that platform space. In short, these asset models give us the flexibility, the option to scale and to gradually, over time, improve profitability on the back of that revenue growth that we seek. If we then look at the actions for platforms in 2026, then it's really about empowering that European sales function. We have been investing in expanding that sales function, including the intelligence tools that it needs. We are growing the network. So we've added many different trade lanes and line haul expansion to the European business. And we're gradually filling that network capacity that will, over time, then will result in an increase in marginality on the platform side of things. Of course, we have for quite a while already a very strong market position in Hong Kong, China. And we're expanding that base to also other areas within Asia that can also fuel the import flows to Europe. If we then go to the Mail side. There's, of course, been very relevant developments over the last couple of weeks. So the adjustments of the universal service are approved by the House of Representatives 2 weeks ago, which is a crucial step towards future-proof postal service. So we'll go to a within 2 days delivery model for the USO for July 2026 and to within 3 days for July 2027, which is a deviation from the trajectory that we've painted on the Capital Markets Day because there only D+3 was expected to be there for January 1, 2028. The quality requirements have also come down to 90% for 2026, D+2 and 92% for a within 3-day delivery. So far, there's no solution yet for the remaining substantial net costs on universal service. And that's also why we'll continue with the legal steps to go after that net cost compensation. Because as we estimated in the beginning of the year, we did expect roughly EUR 30 million of net cost related to the USO obligations. I think it will be slightly more than EUR 30 million. And of course, also in '26 and '27, we will still be looking at material net costs that impact the profitability of the company that does impact the competitiveness of the group and limits our ability to invest in innovation, in new propositions, in labor conditions and labor circumstances. And that's why we'll continue to push for compensation or to be relieved from the obligations that drive those net costs. What you cannot underestimate is the impact these changes will have on our organization. And that's why we're really committed and busy with the preparation of those changes for July, which basically means that on the delivery and preparation side, a lot of the schedules need to change. All the delivery routes will be redefined. And we're taking those changes step by step. That also means that we'll deliver the letterbox parcels that are required to be delivered next day through the e-commerce infrastructure. That also impacts Mail's result in 2026 quite significantly, but also impacts the Parcels bridge. And Linde will talk you through those elements a little bit later on. So yes, I think great progress on Mail for 2025. But still a lot to do to make it happen operationally and a lot to continue to discuss with the new Minister of Economic Affairs as to how we want to organize mail delivery in the Netherlands going forward and also in relation to the question, who should pick up the bill for the net costs related to the universal service obligation. Slide 22 basically paints the picture as to why we believe that, over time, we're able to manage the Mail business within a bandwidth of results to give you a bit of predictability as to how we can do this. These lines are, with the exception of 2025, the lines that we've presented also at Capital Markets Day. So later on, you'll see that the 2026 expectations for Mail will not be as low as the orange line, but it indicates roughly the phasing of those steps over time. And the blue line also includes potential upsides on financial contribution that, of course, so far, we've not been taking into account in our outlook. But it's still reinforcing the message that we expect to be able to manage the Mail business with those changes within this bandwidth of results. And of course, there are some sensitivities around it that relate to the volume decline expectations and the timeliness of the execution of the steps that we plan to make in this road map. That is the Mail side of things. Then if we go to our enablers. The first one is ESG. That is clearly not a separate track but a foundation for everything we do, taking care of our people, environment and society. Further reductions of emissions to improve our footprint is high on our agenda. That's also why we expand our own fleet of electric vans by 50% last year, and we'll continue to stimulate delivery partners to switch to electric vans as well. As shared, emission-free kilometers was up and is now at 33%. With that, we also had a positive impact on urban liveability. On the right-hand side, you see our efforts to invest in engaged and healthy workforce because that will also drive employee engagement, will also drive Net Promoter Scores. We've introduced programs to reduce the absenteeism and invested quite materially in innovation to reduce the physical workload in our depots. And the examples that you see there is the implementation of tilters to reduce manual lifting in the depots, the use of smart electronic tugs for internal transport of roll cages, but also adjusted customer requirements for how they fill the roll cages before they're dropped off at our depots. So serious investments are being undertaken to improve the workplace safety to unlock cost efficiency and to create a better environment for our staff. Then if we talk to the other enablers, data tech and innovation beyond delivery. We're simplifying and accelerating by embracing data and AI, both in our meta channel contact strategies of our digital and human interactions, but as well on our supply chain and commercial engines, where we do apply AI as much as we can to drive NPS and improve efficiency and will contribute to the execution of our strategy. We keep on exploring new opportunities by stretching our core and are investigating the development of charging hubs for truck transport, where we aim to develop charging hubs initially for our own trucks, but over time, also make these hubs accessible for other carriers. Then let's go to the financial paragraph of 2026 and look at the outlook that we've set for this year. Linde, back to you.
Linde Jansen: Yes. Thank you, Pim. So then we are on Slide 26, and let me start with a recap of our capital allocation. First and foremost, we will invest in our organic growth, including investments in our network, our out-of-home ambition and IT capabilities. Next, we will invest in inorganic growth opportunities in line with our strategic criteria. The focus for this will be on partnerships in our growth areas rather than acquisitions to limit the size of the required capital. The remaining cash flow should be sufficient to pay dividend in line with our business performance and dividend policy and to optimize our financing structure. For 2025, as said, we will propose a dividend of EUR 0.04 per share to the AGM -- at the AGM to be held in April. To be clear, this is based on the old dividend policy that was applicable for book year 2025. The payout ratio is 80% of normalized comprehensive income. As communicated during the Capital Markets Day in September 2025, as of 2026, we will slightly adjust this policy. Dividends will be based on normalized profit instead of normalized comprehensive income, and we will no longer have interim dividend. So the full dividend is to be paid in one payment in May. Let's move to Slide 27. This slide is in the deck to help you to reconcile the 2025 actuals to the new reporting structure that is aligned with this new strategy and as explained by Pim. As of January 1, 2026, we will report along the segments E-commerce, Platforms and Mail. In short, in E-commerce, we will report all parcel activities in, from and to the Netherlands and Belgium, including internal revenue from platforms and a transfer from PostNL Other being the digital activities. Platform comprises Spring and MyParcel and other international activities. Mail does not need further explanation. Let's have a look forward to our full year expectations for 2026, which will be the year of inflection in the execution of our strategy. I will start with sharing our outlook for the main financial KPIs and will then dive a bit deeper to the drivers and assume development per segment. For normalized EBIT, our outlook is between EUR 40 million and EUR 70 million, and we expect that to translate into a free cash flow of between 0 and minus EUR 30 million. That outlook is based on an expected total revenue growth of between 5% and 7%. And I will come back to that on the next slide. In 2026, we continue to invest in our strategic focus areas with CapEx expected to be up to around EUR 125 million while lease payments will be at the same level as in 2025. Organic cost increases remain high. We expect around EUR 140 million cost increases, mainly labor-related, following wage inflation and other inflationary pressure. Price increase will be more than sufficient to mitigate this. And our focus will continue to be on strong cost control and further efficiency improvements, building on our proven efforts to reduce costs. Please note that the outlook of 2026 assumes limited impact from changes in treatment of de minimis thresholds in the EU and U.S. or in related customs handling and clearance fee structures. The scope and timing could evolve during the year and could impact performance. The graph on the left side indicates the assumed development of normalized EBIT per segment, but let me explain a bit more on that. This Slide 29 shows the assumptions for the drivers of the expected 5% to 7% revenue growth. At the segment E-commerce, revenue will grow on the back of 1% to 3% volume growth compared to the number of parcels as shown in the segment Parcels for full year 2025, which is EUR 376 million. As targeted yield measures will come into effect gradually, these will also contribute to revenue growth. And then in the E-commerce segment, you see the impact of the transfer of letterbox parcels of D+1 to the network of e-commerce. Pim already touched on this. And on the next slide, I will show you more background. Good to keep in mind that this letterbox parcel revenue in E-commerce is internal revenue and, as such, will be eliminated at group level. Looking at Platforms. For Platforms, it's expected to show double-digit revenue, accelerating its speed of growth following our strategic initiatives to expand our intra-European growth at Spring and MyParcel and growth from the Asian platforms. For Mail, the main drivers are the continuation of the structural decline in volumes between 8% and 10% assumed for 2026 and price increases. Altogether, that brings us to the assumed revenue growth of between 5% and 7%. As said, let me provide a bit more background on the letterbox parcels. So as of mid-2026, we will start delivering the letterbox parcels D+1 through our e-commerce network, so no longer through the Mail network. As Pim explained, this is a necessary step to enable the transition to D+3 for all mail in 2027 and results in a step-up in costs for 2026, in line with the road map towards a future-proof postal service. Apart from the extensive impact on processes and people, it will also bring some financial consequences for segment reporting. These are summarized on this slide to help you understand the development in performance. Let me start with E-commerce. The transfer will bring between 50 million and 60 million items in the network, so around 30 million in 2026. As shown on the previous slide, this adds revenue for the E-commerce segment. Again, this is internal revenue. Good to understand that the price of letterbox parcels is below the current average price per parcel, which is visible in the price/mix development in the e-commerce performance. Extra volumes, of course, bring extra volume-dependent costs and, for 2026, limited one-off transition costs. Overall, the impact from the transfer on normalized EBIT for e-commerce is limited and then expected to become margin accretive as of 2027. Then moving to the Mail side. At Mail, you see some additional revenue as delivery of the letterbox parcels via the E-commerce network comes with better service and quality. It also brings cost savings as we can adjust the prices in Mail. Around EUR 20 million of the cost savings for 2026 relates to the transfer. On the other side, the transfer comes with additional cost as, in the end, the infrastructure of e-commerce is more expensive than the Mail structure. Combined, this leads for the Mail segment an expected net negative impact of around EUR 12 million, fully in line with the road map towards a future-proof postal service. Let's move over to the e-commerce bridge. On this slide, you see the main drivers and its contribution to the assumed step-up in e-commerce performance in 2026, a step-up in revenue from a 1% to 3% underlying volume growth and the impact from the transfer of letterbox parcels. For price/mix, I want to emphasize that regular price increases and the targeted yield measures are more than offsetting organic cost increases. And yes, in the bridge, we will see negative mix effects, but these are almost fully related to the transfer of letterbox parcels. As explained on the previous slide, the price for letterbox parcels is below the average price for parcel, and that is driving the majority of the negative mix effect. Remaining mix effects within and between channels and countries is expected to be in line with Q4 2025 performance. Then you see indicatively an increase in volume-dependent costs as we have more volume and organic cost increases. We expect to achieve the EUR 40 million to EUR 50 million in cost savings, investments in our out-of-home sustainability and reduction of physical workload and the earlier mentioned one-off costs to enable the transfer of letterbox parcels to e-commerce. Then moving on to Platforms. The bridge clearly shows the impact from the assumed double-digit revenue growth, predominantly attributable to the expansion of activities. Positive pricing sufficient to cover organic cost increases, though offset by negative mix effects coming from a less favorable mix of destination and weight. Again, additional volumes come with additional costs, and that's also shown in the volume-dependent costs. And of course, specifically in this asset-light segment, on the cost side, you see the impact of investments in international expansion, for example, due to a step-up in costs related to sales and marketing and IT. So really investing in future growth. And then moving over to the last segment, the Mail segment. The impact from organic cost increases and an assumed 8% to 10% volume decline is mitigated by price increases and a favorable mix effect and the decline in volume-dependent costs. And then we expect to achieve EUR 30 million to EUR 40 million in cost savings, largely related to the transfer of letterbox parcels to e-commerce, offset by higher costs as explained and cost increase mainly related to preparations for the future-proof postal networks. Please take in mind that this bridge represents the full segment Mail, which is more than the USO. As mentioned by Pim, without any doubt, also in 2026, there will be net cost for the USO. In that regard, let me reiterate that we will continue our legal proceedings. That being said, let me hand over back to Pim to close the presentation with the concluding.
P. Berendsen: Thank you, Linde. Well, if we look at 2026, that will be the year in which we expect to reach the inflection point in the execution of our strategy towards our Breakthrough 2028 ambitions. The outlook that we've said of normalized EBIT between EUR 40 million and EUR 70 million and free cash flow between 0 and minus EUR 30 million is in line with the trajectory that we need to get to the 2028 results. For E-commerce, we'll focus on a continued and disciplined path towards sustainable value creation. At Platforms, we'll focus at further investments to capture and to facilitate to accelerate international growth. And in Mail, it will be a very heavy transitional year in which we need to make the changes for a D+2 USO delivery network and to continue to work on the future-proof postal network that we need as well. So all in all, satisfied with the 2025 results, particularly in the fourth quarter. We're on track towards our Breakthrough 2028 ambitions. And we're connected to deliver what drives us all forward. So thank you for now, and let's open up for questions.
Inge Laudy: Operator, could you please explain the procedure to ask questions, please.
Operator: [Operator Instructions] We will take our first question. Your question comes from Michiel Declercq from KBCS.
Michiel Declercq: My first question would be on Mail, where you reported very nice results. Could you maybe remind me on the fourth quarter what the impact was of the nonrecurring elements? And then if I adjust for that, I would assume that the Mail volumes, they were also quite strong. You mentioned the positive impact from the holiday cards. Is that what has mainly been driving the strong margin? And then also looking a bit into 2026, the revenue bridge that you show on Slide 29. You basically expect the full volume to be offset by price increases and mix effect. Can you maybe elaborate a bit more on this, I mean, the price increases for USO have been announced? But yes, maybe diving a bit deeper into these mix effects as well. Is that maybe the absence of the government and the election mail? So that would be my first question. And then secondly -- second, on the CapEx, you guide for EUR 125 million this year, which is a bit lower than what you shared during the Capital Markets Day. Is this mainly a timing effect? Or is this the new run rate also for 2027? Or how should we look at this?
Linde Jansen: Yes. Thanks, Michiel, for your questions. Let me start with the first question on the volume development of Mail in the last quarter. Yes. So indeed, the volume in the last quarter has been impacted or positively impacted by those nonrecurring volumes coming from governmental side. So the pension funds, which had a special communication on changes in pension funds, but also the emergency kit, which was distributed in the last quarter. And of course, you had the election mail. Those -- that volume is not recurring because we will not have that every year. And looking at the campaign, the campaign for the Christmas stamps, which this year we did together with the Efteling cooperation and that was successfully perceived by the consumers as such, that was contributing to the positive volume development as well. Then the revenue bridge mix effect, you were referring to the revenue bridge you were referring to the Mail specifically, right?
Michiel Declercq: Yes. Yes, correct, the Mail only.
Linde Jansen: Yes. What you see there is that the underlying volume trend, which we actually also have this year, the 8% to 10%, that is on the volume side. And on the other side, you will see also that from a price increases point of view, we will increase our prices also to ensure that we outweigh or more than outweigh our organic cost increases. And that is contributing to the overall performance in the revenue side. Then on your last question on CapEx of EUR 125 million. Well, I'm not saying is it timing, yes or no. I think over time, yes, we will expand our CapEx to further invest in the growth areas. For now, we have targeted at EUR 125 million. It's mostly important that we continue our trajectory on the growth initiatives, which is obviously out-of-home, but also investments in ESG and in our IT capabilities. And that is with EUR 125 million on trajectory towards our 2028 ambition as well.
P. Berendsen: One addition, Michiel, from my side, just to clarify a point. In the volume development of the fourth quarter, where kind of the total volumes for Mail were roughly flat, you still have double-digit volume decline in single items and Christmas cards compared to last year, but then made up by slightly more bulk Mail volume than the same quarter last year, driven by the elements that Linde just explained.
Michiel Declercq: Okay. That's clear. If I could maybe ask a small follow-up about the margins in Mail in the fourth quarter. Is it possible to quantify roughly what the EBIT impact was of these nonrecurring items? I know it's low margin, but is it -- can you give us some degree of what the margin impact was from this?
P. Berendsen: Not per line item. What I've indicated in my story is that as of -- well, you know the year-to-date performance at the end of Q3, I've kind of given you a marker where we were at the end of [ P 11 ] being still significantly down roughly around the EUR 35 million loss, and it turned into a EUR 2 million positive for the full year. So then you have the contribution of the combination of the additional volume in December as well as the contribution of the Christmas card campaign that has, let's say, in those last weeks of the year, turned a significant loss into a slightly positive profit for the entire year.
Operator: Your next question comes from the line of Frank Claassen from Degroof Petercam.
Frank Claassen: Two questions, please. First of all, on your growth assumption for the parcels or e-commerce, roughly 1% to 3% for '26. Could you roughly indicate how much you think it will be from the domestic side and how much from international? So will international still be growing much faster in your assumption? That's my first question. And then secondly, you're targeting quite a few cost savings in '26. Do you also expect to see restructuring charges related to these cost savings?
Linde Jansen: Yes. Thanks, Frank. Regarding your first questions on the 1% to 3%, no, we cannot comment on the specific division between domestic versus international. What is important that we will -- that this growth is, of course, continued and based on our targeted yield measures and change from volume to value strategy. So as said, the pattern which we were on for 2025 is also what we will continue for 2026. Though, of course, for the international growth, there, we had a different base to grow from. On the cost savings side and the potential redundancies, what you're referring to, no, this is really a cost savings program where we want to significantly reduce the cost price per parcel. We do not, at forehand, have predefined or planned layoffs. It's really an integral part to make sure that the commercial initiatives, the elements we take into commercial initiatives, we also derisk on the side on the competitiveness of our cost price per parcel so that we ensure that on both angles, we steer for the next.
Operator: [Operator Instructions] Your next question comes from the line of Marco Limite from Barclays.
Marco Limite: I've got three questions. So the first one is on the recent news flow we have heard last week on Sandd, where again, ACM looks to be -- well, the court seems to be against the Sandd acquisition. So yes, if you could clarify what's your view there, what's happening? It feels like, yes, quite a few years have passed now. Second question is on your Slide 31, where you are showing the expected margin evolution throughout the years until 2028. And I mean, in 2027, according to your chart, we should expect a big step-up in margins. In my view, looks a bit -- the step-up in '27 looks a bit higher compared to what you showed the CMD in September. So can you just remind us what is going to drive this fairly big jump in margins in '27 in the E-commerce division? And then maybe my third question, just a clarification on the letterbox parcels slide, so Slide 30. Just a clarification there. So you're saying that in '26, you don't expect any impact on your E-commerce EBIT. But then in Mail, you're saying minus EUR 12 million. So can you just confirm that this is going to be net negative at group level? -- between Mail and E-commerce? Or I'm getting that wrong? And if you could also clarify, you're mentioning EUR 50 million to EUR 60 million extra volumes on a full run rate. Can you quantify that also in terms of revenues? So it's easier for us to model that?
P. Berendsen: Thank you, Marco. I'll take the first and third question and leave the second one for Linde to clarify. I think you're referring on point one to the conclusion of what the -- say we felt about the acquisition of Sandd. Clearly, our view there is that we've done that acquisition on the back of a permit that was given. And since that time, we've adhered to the conditions of that permit. So we really believe there's no legal obligation nor a necessity at the level of PostNL to mitigate anything here. So that is our position. Of course, we've seen that ACM plans or intends to start an investigation. We're uncertain about the scope, the approach or the legal grounds for that investigation. So we'll just wait and see there. The more general point that we make there is that over the last couple of years, there have been numerous investigations and research done also by external parties on how the mail market should develop. All of those led to the same conclusion being it's a market in structural decline and the current set of regulatory constraints are not fit for purpose anymore. So we'll wait and see, but I don't expect material outcome from those elements. And as I said, it's now 6 years, 7 years after the integration of Sandd that cannot be revoked, although we continue to adhere to the conditions of the permit. So that is point one. And three, I think there's a couple of elements to your question. So if you talk about EUR 50 million to EUR 60 million, that's a full year number, not a half year number because we only migrate those parcels, letterbox parcels halfway through the year. And yes, net for the group, this is a negative. Linde said that it will not have a material impact within the E-commerce space, but it will have an impact of a couple of million negative for 2026 within E-commerce being a function of the transition cost, the implementation cost to make this work and will be accretive as of 2027. And within Mail, we indeed expect a net of minus EUR 12 million. So in excess of the minus EUR 12 million, you've got a couple of million more that makes it the net consequence of this change in 2026. And then you could argue why doing this, in the first place with this negative impact on 2026. And that's because it's necessary to be able to make the move towards delivery within 3 days to take out the letterbox parcels within the mail network. So it's a fundamental step that we have to take to be able to make the changes halfway 2027 to go to a D+3 model. Linde, can you take the second question of Marco?
Linde Jansen: Yes. Well, as you refer to the Slide 31 and your question on the margin. So actually, the 2026 margin development and also towards 2027 margin development is in line with what we have said during the Capital Markets Day, also starting with current year with our 2025 story year. We will see a step-up in margin versus 2025 performance, and that further increases over time to 2027. And in that sense, it's not different from the story which we explained during the Capital Markets Day. But as also explained by Pim, we -- clearly the plan for 2025 and 2026, you see now also investments being made or, for instance, this step-up or change of the letterbox parcels. Those elements are all contributing and ensuring future growth, and that is why you see those effects as expected in 2025 and 2026, not only in E-commerce, but also in Mail, and that is on the trajectory towards our ambition of 2028.
Marco Limite: Okay. And if you could help us quantifying the revenues shipped from Mail into Parcels coming from...
Linde Jansen: No, we can't give you that specification.
Operator: [Operator Instructions] We will take our next question, and the question comes from the line of Henk Slotboom from The Idea.
Henk Slotboom: I've got three questions equally divided on the Mail, E-commerce and on Platforms. First one is an easy one. On your guidance with regard to mail volumes, 8% to 10% expected drop in volumes in this year. It seems a little bit conservative in my view. If I look at the first 3 quarters of this year, it was minus 6.9%, minus 8.3%, minus 5.0%. And then in the last quarter, there was, of course, the elections. We had the government bill, the emergency package, which is maybe 8 million or so, the number of households in the Netherlands. And the pensions reform is still taking place. So I expect that you will have extra mailings on pensions again by the end of this year. As far as the election is concerned, we have municipal elections in the first quarter. So there's a bit of a timing difference. What exactly makes you so, call it, conservative when it comes to Mail volumes?
P. Berendsen: Do you want to take them one by one, Henk, or do you want to share your other questions already?
Henk Slotboom: No, no. Can we do it one by one?
P. Berendsen: Yes, that's fine. That's fine. Look, here, we've just taken the longer-term view that we've consistently seen in the market. Those volume expectations are also clearly a function of the conversations that we've had with our bigger customers, including [ SDN ] [Foreign Language] and the renewal of a few bigger customers as well. So on the back of those insights, we have set the expectation around that 8% to 10% mark. Well, let's wait and see. It could be on the conservative side. But that's based on the insights that we've gotten from the conversations around those bigger senders of mail, whilst renegotiating the terms for 2026.
Henk Slotboom: Okay. And the second one is on Platforms. If I look at the pro forma divisional breakdown you gave at the Capital Markets Day, I see revenue of EUR 724 million in 2024 with a profit normalized EBIT of EUR 19 million, EUR 19 million. '25, we see a nice growth in the revenue line to EUR 786 million, but a steep fall in the normalized EBIT. Can you explain what exactly is this? It's an asset-light model. I understand that if you want to grow in this business, you need to invest upfront. And if I look at the chart at Slide 32, your main goal in E-commerce is from volume to value. If I look at Platforms, then I see volume, but the volume in terms of price/mix is 0. How can I connect this? Is this the way to get into this market? Or maybe you can give some more -- shed some more light on this, please?
P. Berendsen: Yes. Of course. Clearly, we've set different strategic objectives for the business segments. So here, particularly in '25, '26, you see materially investments in the Platforms space in terms of building line haul capacity That is not fully utilized at day 1. It is expanding our sales capability throughout Europe. It's investing in some IT functionalities that will allow you to be competitive on that asset-light playing field. Those elements together -- also, if you were to look at 2026, really are already clarifying, I would say, around EUR 5 million to EUR 10 million of additional costs in the P&L that over time will turn into a contribution. Second part is that, as said -- so also, if you look at the last quarter of 2025, we did have more volume than we originally expected in Europe, which caused us to take additional line haul carriers in. And we've decided to prioritize customer experience over short-term margins here, because we truly believe it will help our competitive position and will accelerate the flywheel going forward. Next to that, this is also the domain. where you will see the consequences of tariffs, particularly also from the U.S. trade lane side also in 2025. And also the uncertainty about the implications on what handling fees will do with consumer spending and choices consumers will make in 2026 is in part, an explanation also for the 2026 development because -- although Linde has said that we've taken into limited sensitivities that still millions and millions of lower profits based on the assumed scenarios that we've taken as the baseline for the handling fee situation. So those 3 elements explain the temporary step down in margin profile within Platforms.
Henk Slotboom: Okay. And then my final question is that, well, bridges basically a little bit Platforms with the E-commerce division. We've seen quite a lot of noise from the Chinese CRO is active in -- on the intercontinental routes from China to, for example, the EU, they have a close cooperation with GOFO, which has become active in the Netherlands. Earlier last week, we saw reports about JD.com, which is becoming active in the last mile as well, and they do it in a slightly different way with [ Chinese ] [ Winkler.org ] guarantees and selling real products like Apple and that sort of things. How do you look at this development? Because it looks as if the Chinese logistics companies are piggybacking on what we see from the side of the Chinese platforms, which are coming to Europe. What's your view on that?
P. Berendsen: Well, as you know, I've said before, it was already quite a competitive marketplace to begin with. And we certainly see those new models and new businesses coming up. It's not that difficult to sort 100,000 parcels or sort a couple of million. But this is, of course, can you do this at a convenience level, at a quality level structurally throughout the year so that you can accommodate your clients to facilitate their growth ambitions. And I think there, our view on strategy is exactly the same as prior to those. We need to be best in the customer journeys that matter most. We need to be best in terms of Net Promoter Score, and we need to stick to a model where we strive to get value from volume and not volume per se. And we see the right telltales there. We also see slight indications that other marketplaces are at least following suit in terms of trying to get value distribution more equally divided within the chain. And that's what we'll continue to push for. And we'll follow and monitor these parties closely. They have different operating models. They have so far not agreed any working conditions or collective labor agreements. So the question is also going to be how will they develop their business model to make it sustainable going forward. We talk with them, but we stick to the strategy that I've just explained.
Henk Slotboom: Is labor a constraint for them? We heard you in the past mentioning before, there's a high churn amongst parcel deliveries and that sort of thing. It's difficult to get enough people there. Would it hypothetically mean an additional push towards out-of-home? And if so, could you benefit from it because you already have how many 1,200, 1,300 of these locations?
P. Berendsen: Yes, and accelerating. So that's kind of more the general development there where we truly believe that a bigger portion of parcels will go to out-of-home delivery towards lockers and still the vast majority will go at home. I will definitely expect those other players to also -- it will kind of -- the labor market is the labor market in the Netherlands. It stands anyway. Their model is much more focused on pay per item, where also different parties might have their own view on. I would say all regulatory elements that relate to safe working conditions apply to all in the Netherlands, so also to them. So yes, there are some limitations to, I would say, their ability to scale this existing model. In the meantime, of course, they can make choices against price points that could lead to some volume going their way. But as I said, we will stick to the plan to create value from volume. And that's also still why we do expect a little bit of market share loss in 2026. We're happy with the progress that we're making on the rollout of our out-of-home network. We're accelerating there, not only in the number of locations, but also on the number of lockers per location. Of course, we truly believe that, that acceleration can help us on both sides to create competitive edge, to create best possible consumer experiences and will make the network more efficient.
Operator: Thank you. This concludes today's question-and-answer session. I will now hand back for closing remarks.
Inge Laudy: Thank you all for joining this call, and speak to you on April 28. Thanks.
P. Berendsen: Thank you.
Linde Jansen: Thank you all.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.